Operator: Good morning. My name is Letricia and I will be your conference operator today. At this time I would like to welcome everyone to the Kadant Incorporated Second Quarter Earnings Business Update. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer session. (Operator Instructions). Thank you. I would now like to turn the conference over to Mr. Thomas O'Brien, CFO of Kadant Incorporated. Please go ahead sir.
Thomas O'Brien: Well thank you operator and good morning everyone and welcome to Kadant's second quarter 2010 earnings call. With me on the call today is Jon Painter, our President and Chief Executive Officer. Before we begin, let me read the Safe Harbor statement. Various remarks that we may make today about Kadant's future expectations, plans and prospects are forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Our actual results may differ materially from these forward-looking statements as a result of various important factors, including those discussed in our quarterly report on Form 10-Q for the fiscal period ended April 3rd, 2010, which is on file with the SEC and is also available in the Investors section of our website at www.kadant.com under the heading SEC Filings. In addition, any forward-looking statements we make on this call represent our views only as of today. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change and you should not rely on these forward-looking statements as representing our views on any date after today. During this call, we may refer to some non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is contained in our second quarter earnings press release issued yesterday, which is available in the Investor section of our website at www.kadant.com under the heading Recent News. And with that, I will turn the call over to Jon Painter, who will give you an update on Kadant's business and future prospects. Following Jon's remarks, I will give an overview of our financial results for the quarter and we will then have the Q&A session. Jon?
Jon Painter: Thanks Tom. Good morning everyone. It's my pleasure to give you an update on Kadant's second quarter performance and comment on our outlook for the rest of the year. We had an excellent second quarter by almost any measure. Let me start with the financial highlights from our continuing operations and I'll then provide you with an overview of the trends we expect to play out during the second half of the year. Second quarter revenue of $69 million was up 38% from a very weak quarter of last year and our fourth consecutive quarterly increase. On a sequential basis our revenues increased 13% from Q1. This increase was led by our stock preparation and water management product lines with sequential revenue increases of 41% and 32% respectively. Our bookings for the quarter were $74 million, an increase of 57% compared to the same period last year and up 6% from Q1. This was our fourth consecutive sequential bookings increase as well. Our bookings in the second quarter benefitted from strong performance in our stock product line that recorded sequential increases of 46% compared to the first quarter. This bookings increase however was offset by a 14% decline in our fluid handling business compared to a very strong Q1 bookings level. Parts and consumable bookings were also down 6% sequentially, compared to the strong first quarter pace due to weaker demand in North America and Europe. As I noted in our Q1 earnings call, we believe the pent up demand from 2009 contributed to a significant increase in order activity in Q1 and the subsequent softening in our bookings levels for parts and consumables was expected. One of the most impressive results for the second quarter was our gross margin performance of 45%. This was the highest gross margin recorded in our company's history and was the result of solid execution and lower manufacturing cost for both capital projects and parts and consumables. Our operating income was nearly 11% of revenues for the quarter and diluted earnings per share was $0.42, compared to our guidance of 38 to $0.40. Despite increasing revenue we generated $9 million of cash flow from operations, bringing our net cash position to over $24 million. And finally I'm pleased to report that earlier this month we completed an acquisition or a small screen basket manufacturer and a dewatering equipment product line. I'll provide additional detail on this transaction at the end of my remarks. As I commented in our April earnings call, we maintain a relatively guarded outlook with respect to the world economic recovery and the ability to global markets to sustain the positive momentum generated at the end of 2009 and into the first quarter of 2010. In North America, mill operating rates have remained high and inventories are being well managed. In Containerboard for example where we generate approximately 40% of our revenue, machine operating rates exceeded 95% in June. Operating rates in demand in Europe and Asia across most grids were also relatively high. On the pricing front, prices for recovered paper, pulp and most grades of paper have remained strong, supported the low mill and end user inventories and healthy demand. In the U.S. graphic paper market for example inventory levels of coated papers are at their lowest point in more than 10 years and this is helping to support incremental price increases in these grades. Likewise low inventory and healthy demand are positively influencing pricing in Latin America and Europe. All though we can't predict what the economy will do in the second half of the year we do know that the paper industry is in a much better position to handle a potential slowdown in the second half of 2010 than it was a year ago. Our own North American bookings were up 36% over Q2 last year and maintained a healthy yet slightly slower pace compared to very strong first quarter rate. North American bookings on a sequential basis were down 6% with all product lines recording a lower order volume except for stock prep which say an 8% increase. This increase was driven by strong bookings from pulp producers in the U.S for our systems use and work driven fiber processing. Bookings from our European operations which also sounded territories outside of Europe followed a pattern similar to the one we saw in North America. Bookings were up 55% compared to the same period last year but down slightly compared to Q1 bookings. Again our stock product business had the strongest performance with the 22% sequential increase in bookings while our fluid handling and accessory product lines saw declines. The double digit increase in stock products included an order for a turn key deinking line valued at approximately $5 million for a tissue mill and various other capital equipment orders valued at approximately $2.5 million. In contrast of the business activity in the developed world, we continue to see solid growth in business activity in the BRIC economies. Our Q2 revenues in Brazil, Russia and India of nearly $3 million was up 77% compared to the same period last year and up 13% sequentially from Q1. In China, we continue to have strong demand for capital and after market products in most of our product lines. Our Q2 bookings in China were than double to Q1 led by strong performance in our stock preparation product line. Three large OCC systems for liner and coded liner were booked along with orders for dispersion and screening systems. More encouraging is the increase in stock, parts and consumables bookings that more than doubled compared to the same period last year to $2.4 million. Increasing our stock prep aftermarket business in China where we have a very large installed base is one of our key growth initiatives and we're very pleased to see our efforts bearing some fruit. We also received significant orders for our other product lines in China including orders for over $1 million for our water filtration products. Chinese customers are increasingly concerned about water usage as the work towards compliance was a target set by China's ministry of water resources to reduce water consumption per unit of gross domestic product 60% by 2020. Our water management products helped paper mills reduce water consumption by allowing for the recycling of white water for re-use in various applications such as paper machine showers. Before wrapping up I want to provide a few details on the acquisition that we completed earlier this month for about $3.3 million. We acquired Filtration Fibrewall Inc., a Canadian based supplier of screen baskets and also a dewatering equipment product line from a related company. Combined, these acquisitions generated annual revenues of approximately $3 million in 2009. The dewatering equipment, which includes twin-wire presses and screw-presses fills the gap in our stock prep product line and will be worldwide to our existing sales organization. Fibrewall is more of a technology acquisition and will be an important addition to our efforts to grow our screen basket business. As you may remember screen baskets have an average price of 15 to $20,000 and are typically replaced every nine to 12 months. They are by far the most significant consumable in the stock preparation and building that product line is an important part of our efforts to increase our spares and consumables business. Fibrewall is an innovative screen basket that it introduced in the market about three years ago. We've seen their product in the marketplace including a number of extremely challenging applications. We've also seen these screen baskets running well in our equipment and several mills in the U.S. and Europe. Overall we believe Fibrewall has the top performing screen baskets in the market today and we're delighted to acquire this consumable product line. We plan to integrate this technology into our screen basket product line and incorporate it into our capital screening products as well. I believe the combination of this technology with our applications expertise and our global sales team will make us a very strong supplier of this important consumable. During our April earnings call I commented, our first quarter bookings were very strong leaving us to forecast a significant increase in second quarter earnings followed by a weaker second half of the year. Our view of the second half was based on our belief that a strong first quarter books were due in part to pent up demand that would moderate. So far things are developing at least better than we expected although we still expect a weaker second half as the momentum of the economic recovery in North America and Europe decelerates and our gross margins come down somewhat as larger capital projects make a bigger part of our revenue mix. That said, we expect to report GAAP diluted earnings per share of $0.21 to $0.23 for the third quarter of 2010 and revenues of 60 to $62 million. For the full year we're increasing our earnings per share guidance and expect to achieve GAAP diluted earnings per share of $1.20 to $1.25. We're also updating our revenue guidance to 255 to $260 million. I should note that this revised guidance incorporates the higher assumed effective tax rate which has a negative impact on the year of $0.04 and $0.01 of expense related to the acquisition made earlier this month. Now I will turn the call over to Tom for a more detailed review of the financials. Tom?
Thomas O'Brien: Thank you John. I'll begin with our revenue performance. Consolidated revenues were 69.1 million in the second quarter of 2010, 38% higher than last year including a 1% unfavorable effect from foreign exchange translation. The revenue results were at the higher end of our guidance for the quarter which was 67 to 69 million. Revenues in all our major product lines were higher than last year with particularly noteworthy increases of 66% in water management, 52% in stock prep and 33% in fluid handling. Water management revenues of 8.6 million reached their highest levels since the fourth quarter of 2006 and increase over last year was due to strong capital and aftermarket sales in North America. The increase in stock prep revenues was broadly based throughout all our major geographic territories. North America was up 75%, China was up 46% and stock prep revenues in our Europe based operations were up 31% including an unfavorable foreign exchange effect of 10%. The increase in fluid handling revenues was also well distributed. Europe was up 45%, including 9% of unfavorable exchange. North America increased 29%, including 2% of favorable foreign exchange and China was up 19% including 2% of favorable foreign exchange. On a sequential basis consolidated revenues in the second quarter of 2010 were up 13% compared to the first quarter of 2010 including an increase of 17% in the paper making system segment. Revenues in our all major product lines in this segment increased compared to the first quarter of 2010 with the more noteworthy increases in stock prep, 41% and water management 32%. The sequential increase in fluid handling was minimal compared to the first quarter of 2010. We are starting to see a slowdown in fluid handling activity, especially in the drier systems projects with essentially flat revenues and lower bookings in the second quarter of 2010 compared to the first quarter of 2010. We expect that bookings and revenues in this product line may decrease again in the third quarter compared to the second quarter and we have allowed for this in our guidance. You can see more details of our product line revenue results and the comparisons to last year as well as the comparisons to the first quarter of 2010 in a schedule attached to the press release that we issued yesterday. And finally I should note that our North American operations continued to lead the revenue upturn. Paper making systems segment revenues in North America were up 6.2 million or 21% compared to the first quarter of 2010. Revenues in China of 8.5 million increased 3.1 million or 59% compared to the first quarter of 2010 and would have been higher had we not experienced customer initiated delays in delivering several larger recycling systems. We generally use the completed contract method rather than the percentage of completion method to account for system sales in China and this can at times make the report of revenues quite lumpy and more difficult to forecast on a quarter-to-quarter basis. Unfortunately this variability may continue over the next few quarters as there are several live systems scheduled for shipment in China in the second half of 2010. Europe based revenues were down slightly 3% when compared to the first quarter of 2010. Now turning to our product gross margins, consolidated product gross margins were a record high 45.1% in the second quarter of 2010, about 360 basis points from last years 41.5%. Encouragingly the increase in the solid margin performance in the first quarter was 110 basis points. In our paper making system segment, gross margins of 44.9% were also 360 basis points higher than last year and 140 basis points over the first quarter of 2010. Product gross margins were higher in all our major product lines compared to last year with an especially notable performance in our water management product line where margins increased 980 basis points over last year. We've noted in the past that in 2009 we undertook a consolidation of our U.S. water management manufacturing facility into our U.S. and Mexico manufacturing facilities and we are now starting to realize the full benefits of that consolidation. In addition, our paper making systems segment gross margins benefitted from several capital projects in the U.S. with relatively higher gross margins. We are also experiencing better absorption and cost efficiencies in our worldwide manufacturing operations reflecting the higher volumes and the significant cost reduction efforts we undertook during 2009. These benefits were partly offset by unfavorable product mix in the second quarter of 2010. That is parts and consumables revenues were a lower proportion of total paper making systems, segment revenues made in the year ago quarter. Nevertheless parts and consumables revenues were 24% higher in the second quarter of 2010 compared to last year and gross margins were up approximately 440 basis points as well. With the exception of the unfavorable mix, virtually everything that could go right did go right for us and our gross margins in the second quarter of 2010 and we were quite encouraged with the sequential increase over the strong margin levels in the first quarter. That said we expect the gross margins in the next few quarter may decline from the first half as we record higher revenues from larger systems projects. We also expect a decline in capital margins from the first half levels. In our other category, gross margins of 50.8% were 570 basis points higher than last years 45.1%, largely due to lower natural gas prices in our fiber based products business. Now let's turn to our SG&A expenses for a moment. SG&A expenses were 22.7 million in the second quarter of 2010, up 3.4 million or 18% from last year including a decrease from the effect of foreign exchange translation of 200,000 or 1%. The increase in SG&A compared to last year includes higher incentive expenses associated with the expected improved profitability performance in 2010 compared to 2009 as well as legal and due diligence expenses associated with the acquisition of the screen basket and dewatering businesses which Jon mentioned in his remarks. By the new accounting rules, these expenses must be recognized in the P&L when they are incurred rather than being capitalized in the balance sheet which was the practice in the past. We also had an increase in commission expense associated with the higher revenues in the second quarter of 2010 compared to last year as well as an increase associated with the effect of furloughs and reduced pay programs in the 2009 period which has since been terminated. As a percentage of revenues, SG&A expenses was 32.8% in the second quarter of 2010, down from last years 38.4% as we continue to see improved operating leverage with the higher 2010 revenues, we believe that the run rate will decline somewhat in the next quarters and that for the full year 2010 we expect that our SG&A expenses will be approximately 86 million, an increase of 6% compared to 2009. Now we turn to our EPS results in the second quarter. We reported GAAP diluted earnings per share from continuing operations of $0.42 in the second quarter of 2010 compared to a loss of $0.10 in the second quarter of 2009. The second quarter 2009 results include an after tax restructuring charge of $0.06. Excluding the restructuring charge and the 2009 results, adjusted diluted EPS of $0.42 in the second quarter of 2010 compares to a loss of $0.04 in the second quarter of 2009 or an increase of $0.46. This improvement of $0.46 per diluted share includes an increase of $0.01 due to lower net interest expense, offset by decreases of $0.01 due to higher shares outstanding and $0.01 due to the acquisition costs. The effects due to foreign currency translation and differences in the effective tax rate from the two periods were immaterial. The remaining increase of $0.47 therefore was due to better operating results in the second quarter of 2010 compared to the second quarter of 2009. Now let me also take a moment to compare the actual EPS results to the guidance which we issued during our April 2010 earnings call. Our GAAP diluted EPS guidance for the second quarter of 2010 was $0.38 to $0.40 and this included $0.01 of restructuring costs. This compares to our reported GAAP diluted EPS of $0.42 which had no material net restructuring costs but which did include a decrease of approximately $0.02 due to a slightly higher effective tax rate than the rate we had included in our guidance and a decrease of $0.01 due to the acquisition costs. The increase in the effective tax rate is primarily due to a change in the geographic distribution of earnings and now expect that for the full year 2010 the effective tax rate will be approximately 22 to 24% compared to our earlier guidance of 20 to 22%. Now turning to the balance sheet we were quite encouraged with our cash flow and working capital results in the second quarter. Cash flows from continuing operations were 9 million in the second quarter of 2010, up 86% over last years 4.8 million. The increase in our cash flows was due to our higher profitability and to our continued focus on working capital management during the quarter. Specifically, day sales and receivables decreased to 57 days in the second quarter of 2010, an improvement of 26 days compared to last year's second quarter. This was the best DSO performance in our company's history. Also the number of days in inventory decreased to 96 in the second quarter of 2010 compared to 135 days last year. And finally, working capital as a percentage of the last 12 months revenues where lower is obviously better decreased to 12.3% in the second quarter of 2010 compared to 13.1% in the first quarter of 2010 and to 16.1% in the second quarter of 2009. Working capital here is defined as current assets less current liabilities, excluding cash, debt and the discontinued operation. Our net cash position, that is cash less debt at the end of the second quarter of 2010, was $24.2 million, an increase of 3.7 million compared to the first quarter of 2010 and an improvement of almost 27 million compared to the position at the end of the second quarter of 2009. This is our highest net cash position in over five years and represents approximately $1.93 per diluted share. That concludes my review of the financials and I will now turn the call back to the operator for our Q&A session. Operator?
Operator: (Operator Instructions). Our first question comes from Claudia Hueston with JPMorgan.
Claudia Hueston - JPMorgan: Hi, thanks very much. How are you?
Thomas O'Brien: Hey Claudia.
Claudia Hueston - JPMorgan: I was hoping you could just talk a little bit about the trends you saw in demand over the course of the second quarter and just if you have any early read on July, where there any major differences by geography or product really just as sort of the quarter trending?
Jon Painter: I looked at that and we actually – the June wasn't bad, it wasn't like it was trending down the whole time most of the market. So, again that's looking at the base business, I think for some of the capital we did book some early.
Claudia Hueston - JPMorgan: Early in the second quarter, Jon?
Jon Painter: Yeah early in the second quarter but we still, there is still capital on the pipeline. There is still I would say the activity level particularly in the developing world, maybe China maybe most of all. We are still seeing stuffs that kind of all through the pipeline. I don't know, I think it's a little too early into July to really call in trends here.
Claudia Hueston - JPMorgan: And just looking at sort of the emerging market, I mean how would compare that today versus two years ago when things are really sort of rocking and rolling there.
Jon Painter: China, two years ago in China in '08 when things were starting to stop rocking and rolling. If you go back maybe three years ago it's not as frantic as that, it was almost a panicked attempt to how the Chinese can, they got a secure resources and they got a secure equipment. It's not like that, it's a much rationale broadly based I would say more methodical purchasing pattern, which is good.
Claudia Hueston - JPMorgan: Yeah I would agree, that's helpful and then just maybe if you could just comment a little bit on cash and the acquisition environment that you see out there and also if you just have an end of quarter share count that will be great.
Jon Painter: Okay on cash and acquisition environment, our cash flow has been excellent and Q2 was terrific. I mean we are particularly delighted to be growing revenues and still throwing off the kind of cash we are throwing off. That's all good; I mean the second part is what we are going to do with that cash. We are looking at acquisitions I would say we are proactively and systematically seeking acquisitions and trying to evaluate acquisitions. So, that certainly on our radar screen is one of the things we are going to do with the cash. Thomas maybe you can comment on changes in the share count.
Thomas O'Brien: Really there wasn't much of change. I think the share count fully diluted was 12.5 million Claudia at the end of the quarter.
Claudia Hueston - JPMorgan: Okay and just in terms of the M&A environment and do you feel like buyers are sellers are sort of getting closer at this point. Do you feel like there is more sellers who might be more willing to sell than they were a couple of months ago?
Jon Painter: Last year you really didn't saw unless you had and they were kind of it seemed like you might have had fire sale price. So, right now we don't see fire sale prices unfortunately. The EBITDA multiples are kind of normal I would say. Now and you have always had that question, what is normal EBITDA, is the EBITDA numbers they are giving, is that there a new normal in EBITDA or 2009 unusually low which probably was. So, I think there is more people out there definitely than last year who are more willing to talk and I would say that the pricing is not fire sale pricing.
Claudia Hueston - JPMorgan: Okay. Thanks so much. Good luck guys.
Operator: Your next question comes from the line of Walter Liptak with Barrington Research.
Jon Painter: Hi Walt.
Walter Liptak - Barrington Research: Hi thanks, good morning guys and nice quarter. I had a couple of questions just on sort of some of the trends and I guess I been a little bit surprised by the it's nice to see the strengthen coming through, it's consistently as it is. But with the 21% North American improvement, are you seeing that more on systems or are you seeing it more on, more of the consumable replacement parts.
Thomas O'Brien: You are talking about revenue for North America?
Walter Liptak - Barrington Research: Yeah.
Thomas O'Brien: It was pretty broadly based, it was pretty broadly based I think the trends, if you talking about trends regarding the future I would look at bookings and the bookings in North America were a little softer than Q1 and that's despite stock prep holding up having a positive increase and some of that is capital growing into the (inaudible).  So, I think we overall see a some what of a deceleration in North America and as we said earlier in the comments, a lot of it had to do with; we had a pretty big burst in the first quarter from a bookings perspective.
Walter Liptak - Barrington Research: Okay and I thought the bookings were slowing down because of the drivers systems.
Thomas O'Brien: I would say the – if you would look at fluid handling and dryer systems is part of our fluid handling group, you know that group had the biggest increases in the first quarter. So, the comparison for them Q1 to Q2 is the weakest but it's, all of our product lines other than stock preps are little softer second quarter booking rate versus first quarter booking rate.
Walter Liptak - Barrington Research: Okay and I guess what I am trying to get at is what's the increase spending, is it pent up demand is it up keep on systems, is it payback on more efficient systems.
Jon Painter: I definitely think there is some pent up demand in there and that's, we saw it more significantly in the first quarter. Still pretty good in the second quarter, so yeah I think there is a little bit of pent up demand in those numbers.
Walter Liptak - Barrington Research: Okay and the China looks very strong on revenue and you go back just a year ago and the utilization rates sounded like they were pretty low. Are China utilization rates back up to normalized levels, is that why we are seeing the…
Jon Painter: We don't have a copy, we don't have a great information about utilization numbers in China, but what we hear is that yes its China seems to be quite robust. I will say that the government stimulus has targeted a bunch of industries in one of which is paper so, in terms of expansion and capacity additions they do, in some cases have financing available from the government which is a positive but it seems like it's, they are consuming that paper.
Walter Liptak - Barrington Research: Yup okay. And Tom I wondered about the corporate and other expenses. It was little bit higher than I was expecting, maybe I missed something in your commentary, those were a 1 million high reserve. Something special in there or is there incentive comp that…
Thomas O'Brien: Incentives were a big piece of that, of course we also had the acquisition cost I refer to also.
Walter Liptak - Barrington Research: What was the acquisition cost?
Thomas O'Brien: I think it was a couple $100,000 somewhere in that range.
Walter Liptak - Barrington Research: Okay.
Thomas O'Brien: Some of those things won't repeat, that's why I think that the rate should come down somewhat in the third and the fourth quarters 86 million
Walter Liptak - Barrington Research: Okay got it, okay thanks very much guys.
Operator: Next question comes from Eric Prouty with Canaccord.
Jon Painter: Hi Eric.
Eric Prouty - Canaccord: Nice second quarter guys. Maybe just a little discussion around what you are seeing over in Europe and how that played out during the quarter. Did you see any impact at all from the ups and downs of both the currency and the financing crisis over there? Was it pretty much business as usual through the quarter?
Jon Painter: I would say generally speaking, our bookings were stable than I though they would be down the way both potentially sort of looking for problems there and it seemed its okay. I will say that when I look at our Europe. We report our numbers for our European operations and those – they do sell outside of Europe into South America, in some cases India, Africa places like that and their bookings based is also strong for most reasons. But Germany is having good demand for paper, they are manufacturing business in picking up and they are actually needing liner board. So, you see I would say in many cases two lower levels of liner board and mills trying to catch up.
Eric Prouty - Canaccord: Great and then any impact you mentioned some of the currency impact and the results but from a competitive standpoint, does that change the competitive landscapes. Some of this currency movements or is that kind of nullified given that you produce globally.
Jon Painter: We do produce globally, so the currency sort of one of our businesses win, one of our businesses losses. The weaker euro is certainly good for our, for the paper customers in China and good for German exports which is good for us because they need paper and we want to sell it to them. It's obviously not as good for our European operations that use manufacturing in China because it's less, the savings is less good it's still pretty good but it's not as good as otherwise it would be.
Eric Prouty - Canaccord: Sure and then finally big rebound back in the price of recycled fiber. So far this year, is that changing your customers orders or your mix of business at all or is that just part of kind of long-term movements that just wind up equaling. So, have you guys noticed any impact in your customer enquires etc., because of the big rebound back in fiber prices?
Jon Painter: Yeah I mean the fiber prices I would say is very frustrating for our customers because it's so volatile and the volatility has lot to do with whether China is buying a lot of paper whether or not and part of was the reaction for them is that some times you will hear they want flexibility to be able to accept a lower grade of waste paper if waste papers, a certain grade of waste paper go up. But, that's all that we see from that.
Eric Prouty - Canaccord: Okay and then just finally the R&D spending, they have been doing out, is there any specific areas that money is going towards. Do you expect any new product enhancements or new product developments coming out over the next year or so?
Jon Painter: Yes we do, I think broadly speaking our areas of R&D are in the area of energy, fiber savings and I would say ease of maintenance, making things ease, parts and consumables easier to change. But we are in final stages of a new (inaudible) cell, refiner, we have got a number of blades that are various levels of testing. I am not sure I call anything a revolution but that's just not really the nature of our industry but we do have a good pipeline of products that we are at various stages of near introduction or introduction.
Eric Prouty - Canaccord: Great. That's all for me. Thanks a lot guys.
Jon Painter: Thank you.
Thomas O'Brien: Thank you.
Operator: (Operator Instructions). Your next question comes from Rick Hoss with Roth Capital Partners.
Jon Painter: Hey Eric.
Rick Hoss - Roth Capital Partners: Hi Good morning.
Thomas O'Brien: Hi Eric.
Rick Hoss - Roth Capital Partners: Gross margin, would you say that your typical range has now move up, I know some of this is product mix but you are talking about the benefit from some of your movement overseas and movement in Mexico. So, can you give me a range of what you think is normal?
Jon Painter: So, I think on the 45% there is a few things involved in that but I would say that the fundamental thing is that we did lower our manufacturing overhead expense and we have shifted products towards China. So, you might get a couple of point that would be above our normal margins. We also benefited from a good capital margin, so we had some projects that everything sort of worked out well. We were in a very strong competitive position in terms of whatever that particular customer may have wanted so we have, those were rather call just good jobs that might not always be there. So, there is some of that probably that will shift and I do think that the mix will shift as we get some larger systems coming through into revenue. But I would say a couple of points above our normal rates, would be pretty reliably there.
Rick Hoss - Roth Capital Partners: So, historically it looks like you have kind of flirted with 40 so and the future it will be easily above or I shouldn't say easily but comfortably above 40?
Jon Painter: Yes.
Rick Hoss - Roth Capital Partners: Okay and then Tom do you have any read what you anticipate taxes next year percentage?
Thomas O'Brien: Next year? Well I think we mentioned that the order position where we have over 13 million of foreign tax credit. So, we had fully valued, they will be fully reserved for those foreign tax credit from prior period. So, there is a lot of moving gears in this but assuming that we have the taxable income and we have enough foreign source income in the U.S. and notably be able to utilize those credits. The rate should see stay below 30 in the next few years again with those caveats.
Rick Hoss - Roth Capital Partners: Okay and then last question from me, any read on your market share in China, are you gaining? Are you holding? Are you losing?
Jon Painter: I would say in, you have to look at the products, so we have historically have had excellent market share for stock preparation and fluid handling and I would say those are holding stake on the capital side and we are talked in my remarks I talked about pretty good heavy weight we are making in spares. So, they sensed that there is a market share and stock preps spares we picked up good market share there. The area of our accessories and water management, we have pretty small market share and we are definitely picking up there. They had grew over kind of quarter-over-quarter maybe 30% mainly out from small base but we are in a good position to grow because we are relatively small there and I think we have the right tools in place to do that.
Rick Hoss - Roth Capital Partners: And remind me, have you sold blades over there before?
Jon Painter:
. :
Rick Hoss - Roth Capital Partners: And is there the ability to differentiate?
Jon Painter: Between us and the local blades?
Rick Hoss - Roth Capital Partners: Correct.
Jon Painter: Well it's a combination, so, they have local blades and yes we can certainly differentiate on the local blades. They also have blades from (inaudible) our Germany manufacturer as well as Japanese manufacturer who have good blades. I would say what we were trying to distinguish ourselves is literally the service. It's the same formula we use in U.S. and Europe where what the customer really values as much as the blade is the applications now as it comes with that sales man and our company as to how to apply that blade? Where it should be it applied, which -- there is 60 different types of blade that can be put on various positions on various rows.  I am always surprised kind of been some one new to the blade side, there is art and science and craft to it and that's really in the broader sense what we try to offer the customer and this is a process to get customers to appreciate that and sell and be willing to set higher prices for that service.
Rick Hoss - Roth Capital Partners: Thanks guys. I appreciate it.
Thomas O'Brien: Thanks Rick.
Jon Painter: Thank you.
Operator: Our next question comes from Brent Miley with Rutabaga Capital.
Jon Painter: Hi.
Brent Miley - Rutabaga Capital.: Hi guys. Two questions, one I was wondering, I know fluid handling, somewhat had a very tough comparison sequentially. But could you talk about that business if you mentioned that I think I heard you say that it might go down somewhat in the coming quarters and obviously the pay backs are still high maybe it's gas prices or something but just curious as to whether something has changed there or that just kind of the business trend and then secondarily on your this small acquisitions you did, is the main opportunity there to sort of take the screen basket and I guess some of the other technologies and kind of put them to your distribution channel, is that sort of the general theory there?
Jon Painter: Absolutely let me start screen baskets since you ended with that. On the screen basket we will take that technology and manufacture it in our operation in China and that technology will be incorporated into streams and almost just as important as our streaming product line. It's not just a after market baskets but it does enhance the performance of our own capital. So, that's another hit from that. The other question, fluid handling, so you are absolutely right, it is a tough comparison. If you look at their booking grow to second quarter over the last five quarters, it was the second highest quarter, it just wasn't the highest the first quarter which was terrific. You might remember when you were talking about Q1 we said that fluid handling bookings were up like 26% something like that if memory serves. So, that's a tough I don't want to underestimate that tough comparison that they have. That said the system business and fluid handling as Tom had said in this remarks is falling and when they look further down in the early stages of the pipeline if you will. They don't see as many of sort of projects in the formation stage. That's probably a combination they did a lot of the projects as well some caution on the part of the paper industry. Listening to their reports there particularly in North America and also in Europe, they are concerned about what the second half will bring. I think it will be helpful just to get a little time between us and that kind of little mini shock we had with the sub-debt thing and get the people more comfortable that the world is not going to fall apart.
Brent Miley - Rutabaga Capital.: Okay fair enough. Thank you.
Operator: Thank you. There are no further questions at this time. Are there any closing remarks?
Jon Painter: Yes. Thanks operator. As Rick said in this remarks and we alluded, I think in the second quarter you can see some of the fundamental changes that we made in our business and improved its profitability. We have talked a little about the gross margins and that as I said earlier, that effort is to some extent permanent for at least a couple of points of that. I don't know it will stay at 45% but we will have I think higher gross margins I mean historically we have had. Similarly, our operating income of 11%, relatively modest level of sales compared to pre-recession times give some example of the operating leverage we can generate because of the restructuring we did and I believe that as the recovery picks up a little steam and we get little more revenues we are going to continue to see good operating leverage. We still got a lot of work to do on our business and it's a challenging environment but I really think we are well positioned to take advantage of the recovery, as it develops and I look forward to reporting you on our progress in the first half – in the second half of 2010. Thanks very much.
Operator: Thank you for participating in today's conference call. You may now disconnect.